Operator: Good afternoon and welcome to the Evolv Technology First Quarter Earnings Result Conference Call. All participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's call, Brian Norris, Senior Vice President of Finance and Investor Relations for Evolv Technology. Please go ahead, sir.
Brian Norris: Thank you and good afternoon, everyone, and welcome to the call. I'm joined here today by John Kedzierski, our President and Chief Executive Officer; and Chris Kutsor, our Chief Financial Officer. This afternoon, after the market closed, we issued a press release announcing our first quarter 2025 results and our business outlook for the year. This press release has been furnished with the SEC and is also available on the IR section of our website. There, investors can also access the Form 12b-25 that we filed on May 15, 2025, which was a required SEC filing explaining why we needed more time to finalize our Q1 ‘25 financials due to the effort spent completing our 2024 filings. As required, that filing also included preliminary estimates for Q1 ‘25 results, and those estimates are in line with the results we issued this evening. During today's call, we will make forward-looking statements within the meeting of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements relate to our current expectations and views of future events, including but not limited to, statements regarding our future operations, growth, and financial results, our potential for growth and ability to gain new customers, demand for our products and offerings, and our ability to meet our business outlook. All forward-looking statements are subject to material risks, uncertainties and assumptions, some of which are beyond our control. Actual events or financial results may differ materially from these forward-looking statements, which because of a number of risks and uncertainties, including without limitation, the risk factors set forth under the caption, risk factors in our annual report on Form 10-K for the year ended December 31, 2024, filed with the SEC on April 28, 2025 and our quarterly report on Form 10-Q for the three months ended March 31st, 2025, filed with the SEC earlier today. The forward-looking statements made today represent our views as of May 20th, 2025. Although we believe that the expectations reflected in these statements are reasonable, we cannot guarantee that future results performance or the events and circumstances reflected in our forward-looking statements will be achieved or will occur. Except as may be required by applicable law, we disclaim any obligation to update them to reflect future events or circumstances. Our commentary today will also include non-GAAP financial measures which we believe provide additional insights for investors. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. These measures include adjusted gross profit, adjusted gross margin, adjusted operating expenses, adjusted operating income, adjusted EBITDA, adjusted EBITDA margin, adjusted earnings, and adjusted earnings per diluted share. Reconciliation between these non-GAAP measures and the most directly comparable GAAP measures can be found in our press release issued today. Please note that our definition of these measures may differ from similarly titled metrics presented by other companies. We will be discussing key metrics such as annual recurring revenue or ARR, remaining performance obligation or RPO, and total number of subscriptions, each of which we believe is helpful to investors in understanding the progress we are making as a business. Before I turn things over to John, I want to briefly share some details of our upcoming investor outreach plans. We plan to return to the conference circuit here in Q2 with three events during the quarter, the Craig-Hallum Conference in Minneapolis and the Cowen Technology Conference, both being held later this month, and the Northland Capital Conference in June. We look forward to seeing investors at those events. With that, I'd like to turn the call over to John. John?
John Kedzierski: Thank you, Brian, and thanks, everyone, for joining us today. Before we get into our prepared remarks, since this marks our first call together as CEO and CFO, Chris and I are going to take a moment to introduce ourselves. As I speak with you today on my first earnings call, I do so with a deep sense of responsibility and optimism. In the brief time I've been with the company, I've been impressed by the commitment of our customers, partners, employees, and shareholders. Their passion for what we do drives us every day. And it's more important than ever as we enter a new phase of growth. I joined Evolv in December, bringing over 20 years of experience at Motorola Solutions, where I helped build a market-leading video security business, in addition to leadership roles in engineering, sales, and services. That experience taught me valuable lessons about growing technology businesses and staying close to customer needs. I also served on Evolv's Board from January 2022 to November 2023, which gave me a deeper understanding of the company's mission and the potential for our technology. I joined Evolv because I believe deeply in the mission, making the world a safer place. Gun violence, which continues to rage across the country, has dominated headlines on almost a daily basis over the past eight weeks. From a student in Tallahassee to a food hall in downtown Oklahoma City, from a funeral service in Hartford, Connecticut to a Spring Car Show in New Mexico to a school in Madison, Wisconsin. The headlines have been a sobering reminder of the ongoing toll of gun violence across America. Evolv has developed a technology that enables schools, hospitals, distribution warehouses, tourist attractions, and other facilities to implement weapons screening in places where it simply wasn't practical before. There are hundreds of thousands of entrances across the country that could benefit from AI-based weapons detection. And today, we're only in around 6,600 of them. We're still very much in the early innings of adoption, and the potential market opportunity is enormous. This is my first time speaking with many of you. So, I want to take a moment to share how I think about the drivers of our business model. At its core, our business rests on the total number of subscriptions. The first step in modeling a business like ours is the starting annual recurring revenue base, which was approximately $100 million as of December 31, 2024. That reflected a subscription base of approximately 6,100 units at that time. As we walked into 2025, that recurring revenue base formed a solid foundation to about 78% of the revenue plan we're outlining for 2025. We expect the additional revenue to come from new customer acquisition and expanded deployments with existing customers, which will drive our volume of subscriptions incrementally higher. To that end, we expect new subscriber growth in 2025 to be at least in line with what we delivered in 2024 and potentially greater. So, what does that mean for investors? Simply put, this should be a consistent and predictable business with a well-defined range of outcomes. That's the hallmark of a strong subscription model. We believe this gives us a clear path to building a highly valuable business, one capable of delivering strong growth, expanding adjusted EBITDA margins, and increasing free cash flow. In a few minutes, Chris will walk through some thoughts on our long-term operating model and explain why we believe there may be more leverage in the business than we've previously communicated. I'm focused on advancing our strategy and taking the company to the next stage of its maturity. Above all, I want to assure you that our commitment to integrity, transparency, and accountability will guide every decision we make. We remain dedicated to maintaining open and honest communication with all our stakeholders as we work to achieve our long-term goals. Let me pause there for a moment and ask Chris to share a little bit about himself.
Chris Kutsor: Great. Thanks, John, and hello everybody. It's a real pleasure to be here today. I'm excited to join Evolv at such a pivotal time, not just for the company but for the future of security technology. What drew me here is Evolv's mission and the opportunity to use my recent experience to drive value. Before coming to Evolv about a month ago, I served as CFO, COO and Board member of Kin + Carta, a publicly traded digital transformation consultancy where we brought together 12 firms into one global platform. And we did this over a multi-year period, focused on scaling and the power of platforms by implementing enterprise grade systems and processes. And I see that same opportunity here at Evolv to scale the business. Earlier in my career, I spent nearly 25 years at Motorola Solutions and a range of senior finance roles. I'm energized by the opportunity to help Evolv grow with focus, discipline, and a deep commitment to our mission. With that, I'll turn things back over to John for more discussion on the business.
John Kedzierski: Thanks, Chris. Over the past six to 12 months, we have navigated a period of significant challenge and transformation. Since our last investor call in August, we have appointed a new chief executive officer, chief financial officer, chief accounting officer, general counsel, chief revenue officer, and vice president of supply chain. We have successfully resolved the FTC inquiry that began in 2023. Following a previously disclosed internal investigation, we also completed a restatement that on a net basis shifted $3.1 million in revenue from certain periods prior to July 1st, 2024 to fiscal periods that extend to 2029. We fully recognize the seriousness of these matters. Under new leadership, we are taking comprehensive steps to address the root causes and build a stronger, more resilient organization. This includes fostering a stronger company culture, reinforcing our ethical standards and accountability, enhancing financial oversight and cross-functional coordination, refreshing policies and training programs, and appointing experienced professionals to key roles. These efforts and investments are ongoing. We understand that rebuilding trust takes time, but we are confident that these changes will position us for long-term success. To our shareholders, thank you for your patience and your partnership. To our customers, thank you for continuing to trust us to help make your venues safer, a responsibility we hold sacred. To our employees, your relentless commitment to our mission, our customers, and our shareholders has been extraordinary. And to the families and loved ones who support our team, thank you. We are on a journey. We intend to emerge from this period stronger and more resilient. We truly appreciate your patience and unwavering partnerships throughout these difficult times. And we're now focused on leveraging this momentum as we enter the next stage of growth and innovation. I'm going to spend a few minutes on our Q1 results and the trends that we are seeing in the business. Chris will then walk through our financial results and our outlook. Overall, I am pleased with the solid start to the year. Revenue in the first quarter was $32 million, up 10% sequentially and 44% year-over-year. Our results in Q1 reflected new customer acquisition activity, strong expansion from our installed customer base, overall growth in subscriptions of Evolv Express, and the early adoption of our newest product offering, Evolv eXpedite. We'd recommend that investors not read too much into the year-over-year growth as Q1 2024 was a relatively soft quarter with only 10% growth over Q1 2023. As a result, we believe the year-over-year comparison is less meaningful in assessing current momentum. We welcomed over 50 new customers in Q1 ‘25 and now serve about 950 customers across our key end markets. ARR grew 34% year-over-year to $106 million at the end of Q1 ‘25. Finally, building on our achievement of reaching positive adjusted EBITDA in Q4 ‘24, we're pleased to report adjusted EBITDA for Q1 ‘25 increased to $1.7 million. Adjusted EBITDA margin, a term that investors will hear more frequently from the company, was 5% in Q1 ‘25. Despite challenging conditions, our sales teams remained focused and resilient, continuing to serve our customers with professionalism and integrity. We're deeply grateful for their perseverance during a demanding period. Their efforts have been reinforced by the leadership of Robert Marshall, our newly appointed Chief Revenue Officer, who joined earlier this year. Under Robert's guidance, we're starting to see early but encouraging signs of progress and renewed momentum across the business. Sales cycles, which we define as the average time from opportunity creation to a buying decision, improved in Q1. These cycles had been lengthening throughout much of 2024, but began to recover following the successful resolution of the FTC matter, which we announced in late Q4. One measure of sales productivity is sales and marketing spend as a percentage of revenue. Sales and marketing spend as a percentage of revenue is improving, a metric that I monitor personally. That is a sign that our team is executing more effectively and efficiently. Following the resolution of the FTC matter, we retained 92% of the eligible education customers that could have canceled the remaining terms. Further, we retained 90% of the deployed units across those customers, reflecting the strong value our solutions deliver and the trust that our customers continue to demonstrate in us. In fact, several of the education customers eligible for early cancellation expanded their deployments with us, driving 92% net revenue retention and 94% net unit retention across the eligible group. These results highlight the high customer satisfaction and strong renewal rates driven by Evolv's proven performance. This is a powerful endorsement of the value we're delivering. With 400 of our 6,600 units naturally coming up for renewal this year, we remain optimistic about maintaining strong retention. I want to take a moment to introduce a new program we are rolling out here in Q2, our certified pre-owned program. This program, which you may hear us refer to as CPO, allows us to recapture value from Evolv Express units that are returning to us following a non-renewal or from a customer upgrading from our first generation Express to our second generation Express. A good example of this is the upgrade we just completed with the San Francisco Giants, who chose to move to our next gen Express and commit to a new four-year subscription with a modest refurbishment investment, we can repurpose those partially depreciated units that are attuned to us for a new set of subscription customers. This enables us to reach more price sensitive buyers and expand to market segments that were previously out of reach. We expect this program to contribute positively to revenue, cashflow, ARR, and RPO. eXpedite, our autonomous bag screening solution is off to a good start. In just a few months since its launch, we've added 12 new customers. That is early traction, which we believe is encouraging. We believe eXpedite has the potential to drive meaningful customer expansion, higher attach rates, and stronger subscriptions stickiness. Lastly, I want to highlight a key signal of customer trust, expansions. About 50% of the units and ARR we booked in Q1 came from existing customers. These are organizations that have already deployed our technology, tested it in the real world, and decided to invest further, a strong validation of the value we provide. Beyond the numbers, Evolv is making a significant impact in the communities we serve. On average, we are now screening over 3 million people every day, and have screened over 2 billion people since we started deploying Evolv Express. More importantly, our technology is being used by our customers to tag on average, approximately 500 firearms every single day. What does that look like in real life? As you may have seen in the media, just last month at Rock Island High School in Illinois, Evolv Express flagged a student during morning screening. A search revealed a loaded handgun and the student was arrested, avoiding a potentially dangerous situation. Earlier this year, Antioch High School in Nashville, Tennessee, experienced the heartbreaking tragedy of a school shooting that deeply impacted the entire community. In response, the district took swift action to enhance campus safety by deploying Evolv. Over just the last two weeks, our technology has been used to successfully identify loaded firearms on students on three different occasions. Thanks to Metro Nashville's rapid deployment of our technology and the exemplary actions by school staff on site, potential violence was averted. These are just a few examples that highlight how our technology is making a real difference in keeping schools safer. Today, Evolv Express is deployed in 20 of the 100 largest US school districts and over 1300 school buildings, screening more than 850,000 students and visitors daily. This reflects the trust placed in us by school administrators, parents, and communities who view our system as a critical tool for proactive safety. In healthcare, Evolv is making significant strides in transforming hospital safety. We believe our concealed weapons detection technology is enhancing security in hospitals without compromising the patient experience. In Q1 2025, we added nearly a dozen new healthcare customers and we now have an installed base of products in 500 hospital buildings across the United States. Daily visitor screenings have nearly doubled year-over-year, reaching nearly 900,000. At a hospital in Canada, our solution intercepted 23 knives in one week. This illustrates the power of our technology in creating safer environments for healthcare workers and patients alike, reinforcing our commitment to building trust and delivering safety. We're also monitoring changes in state laws that could impact security requirements and create demand for our solutions. One notable example is California's new law mandating that hospitals implement automated weapons detection screening and staff security training at key entrances by March 2027. This regulation reflects growing concern over healthcare worker and patient safety and signals an increased focus toward prioritizing safety in healthcare settings. As hospitals work to improve safety and security, we believe there may be meaningful long-term opportunity for us. Momentum also continued in the sports and entertainment sector in Q4 2024 and Q1 2025. We supported several high-profile events, including both NBA tipoff games, the MLS Cup final, and the Mike Tyson versus Logan Paul fight. We also provided fan screening at 12 college football bowl games, including three during the highly attended playoffs. Our new Evolv eXpedite solution was deployed at the Houston Astros Stadium, marking another milestone in professional sports. We added new venues, such as the Rogers Center in Edmonton and Sports Illustrated Stadium in New Jersey, a partnership with Cosm in both their LA and Dallas locations, and three new ASM Global venues. These events and renewals demonstrate the growing adoption of Evolv technology in major leagues and iconic venues, showcasing our ability to deliver safety and operational excellence at scale. This is just a glimpse of how Evolv is changing the landscape of safety one vertical market at a time. As we look at the broader market opportunity, it's clear that this is bigger than just a product or a company. It's a movement, a transformation on how we think about safety in public spaces. We are not just helping to improve weapons detection, we're creating an entirely new category. Prior to Evolv, many of our customers lacked a weapons detection system, not because they didn't care about safety, but because they felt traditional solutions were too slow, too labor intensive, and too disruptive to daily operations. Evolv is changing that with our AI powered technology that detects a wide variety of concealed weapons while ignoring many everyday benign items such as cell phones. There are hundreds of thousands of entrances that can be protected by AI based weapons detection. And while we're currently one of the leaders in this market, we're in only about 6,600 entrances today. Over time, we believe that could grow to 10,000, then 20,000, and so on. While that type of installed base of subscriptions would drive us to new heights in terms of both revenue and cash generation, the market penetration would still be far less than 10%. Let me give you some perspective. Today, Evolv is in only about 1% of US school buildings. Adoption in hospitals and healthcare is still in the low single-digits. Even in sports and entertainment, where we've made the most progress, we've only scratched the surface. Make no mistake, we are still in the early innings of a new market, which we think will drive significant value creation for shareholders. Think about electric vehicles, which are widely present today. 10 years ago, EVs were for early adopters. That's where we are with AI-powered weapons detection, especially outside of sports and entertainment. We're still in the first mover phase. We're not just selling a product. We're enabling a new security paradigm, one that's designed to be smarter, faster, and more scalable. So, as we look ahead, the opportunity is large. So what does that look like in 2025? We expect to grow revenues by 20% to 25% in 2025 while delivering positive full year adjusted EBITDA. We also expect to be cash flow positive by the end of the year. We have strong visibility to the key drivers of our business and remain confident in our ability to deliver on our 2025 revenue targets and to build sustainable growth well beyond this year. I'm going to leave it there and turn it over to Chris, who will take you through our financial results and details behind our outlook.
Chris Kutsor: Thanks, John. I'm going to review our results in more detail and then walk through our outlook. Since we did not host a conference call following the release of our full year results a few weeks ago, I want to cover our final 2024 financial results very briefly. Total revenue in 2024 was $103.9 million, representing a 31% increase compared to $79.6 million in 2023, as restated. That strong growth reflected continued progress across our core markets and expanded adoption of our solutions. It also reflects the full annualized impact of the record bookings levels we achieved in 2023. Adjusted EBITDA also improved meaningfully to a loss of $21 million compared to a loss of $51.8 million in 2023. Turning to our 2025 first quarter results. As John mentioned, revenue was $32 million, up 10% sequentially and 44% year-over-year. Those results include approximately $1 million of one-time favorable impacts, with approximately $800,000 from a Q4 ‘24 product order in the industrial warehouse market that disproportionately benefited Q1, and just under $100,000 related to the restatement. I also want to echo John's comments about the softness in the prior year comparison and the strong adoption of our full subscription model just to keep things in the proper context. Annual recurring revenue, or ARR, at March 31, 2025 was $106 million, reflecting growth of 34% year-over-year. 80% of our revenue in Q1 ‘25 was recurring revenue compared to 85% in the first quarter of last year, reflecting a higher contribution from one-time product sales, such as the product order I just mentioned, and higher one-time IP license fees. Remaining performance obligation, or RPO, as of March 31, 2025, was $261.2 million. This reflects the value of the 48-month subscriptions that we have with our customers. Adjusted gross margin, which excludes stock-based compensation and certain other one-time expenses, was 61% in the first quarter of 2025, consistent with the first quarter of last year and benefiting from the one-time favorable items previously mentioned. Adjusted operating expenses, which exclude stock-based compensation, loss on impairment of equipment, and certain other one-time expenses, were $23.2 million compared to $27.3 million in the first quarter of last year. This 15% year-over-year decline in adjusted operating expenses primarily reflects the actions we've taken over the last year to reduce spend. We're beginning to see the impact of improving operating leverage in our business model. Adjusted loss, which excludes stock-based compensation, non-cash charges and other one-time items, was $3.4 million compared to $12.7 million in the first quarter of last year. Adjusted EBITDA, which excludes stock-based compensation and the other one-time items, was $1.7 million compared to a loss of $10.4 million in the first quarter of last year. This $1.7 million, or 5.3% margin, included approximately $500,000, or 150 basis point benefit from the one-time product order previously mentioned. Due to new information recently received from our insurers, we recorded an estimated insurance recovery of $3.9 million for the first quarter of 2025. This is related to certain defense costs previously incurred and paid for in connection with the securities litigation and related regulatory matters, including the restatement in connection with the same. This is reflected as a reduction in our GAAP G&A expenses for the quarter, and is also included in prepaid and other current assets on our balance sheet as of March 31, 2025. The estimate includes both of, one, the amounts confirmed for reimbursement by our insurance providers, and two, a reasonable estimate of the minimum additional claims we expect will be covered. We expect this receivable to be recovered as a cash payment to the company partially in Q2 and the balance expected later in the year. While the estimated recovery is part of our Q1 GAAP results, we excluded it from our non-GAAP financial metrics to give investors a clearer view of our ongoing operating performance. There are more claims that are being evaluated for possible recovery, and we will continue to keep investors up to date. Turning to the balance sheet, we ended the quarter with $35 million in cash, cash equivalents, and marketable securities, compared with $52 million at the end of Q4 2024. This reduction primarily reflects several drivers. First, we had approximately $6 million of one-time cash disbursements associated with third-party advisors related to the ad-hoc investigation and ensuing restatement. We had approximately $3.5 million in short-term incentive payments associated with our 2024 performance. This distribution typically occurs in March each year. We also had approximately $1.5 million in disbursements for restructuring costs related to the workforce rationalization that was completed in Q1. And sequential decline in cash also reflected the traditional linearity of customer collections, which tends to be very strong in the fourth quarter. Turning to our outlook for 2025, we expect total revenues to grow by 20% to 25% this year to between $125 million and $130 million. Of note, we do not expect any material revenue contribution from the restatement in 2025. I want to take a moment to share some details on the assumptions behind our revenue outlook. The financial hallmark of any strong subscription business is of course ARR. This is a measure of the revenue we expect to generate from existing customers in the next 12 months. We had an ARR balance of approximately $100 million on December 31st, 2024. So, we effectively brought in about 78% of our full year revenue plan into the year on day one. We expect a substantial amount of our growth plan to come from the expansion of our existing subscription base during the year, which helps reduce overall volatility and provides a more defined set of possible outcomes from 2025 or any year. And we expect the incremental growth to come from new customer acquisition and expanding deployments. To that end, we're encouraged by the strength of our pipeline, the positive buying signals that we're seeing from both customers and prospects, and the signals we're seeing in overall improved sales execution. One final consideration in forming our 2025 revenue outlook. Based on the trends we are seeing during the first half of 2025, we expect a shift towards more pure subscription orders versus purchase deals. Pure subscription generates less upfront revenue but maximizes ARR and strengthens future year revenue visibility. Conversely, purchase subscription transactions can bring higher one-time upfront revenue with less ARR. For these reasons, [model mix] (ph) can be a key driver to short-term revenue growth, ARR growth, and gross margins. And based on the model mix in our outlook, we expect slight headwinds of 200 basis points to 300 basis points of gross margin for the full year 2025. However, over the long term, shifting to models that maximize ARR and thus long-term revenue growth and profitability is optimal for the company and its shareholders. I want to turn to our outlook for profitability in 2025. In short, we believe our strong revenue growth plans, coupled with a continued careful focus on operational efficiency, will drive improved profitability in 2025. And we expect to make approximately $2 million of near-term, temporary investments in 2025 to help improve our back-office platform and scale our business operations. We intend to improve our systems and processes for enhanced controls with expected efficiency once implemented. As a result of our growth and operational drivers, we expect to deliver positive full year adjusted EBITDA in 2025 with margins in the low to mid-single-digits, inclusive of this $2 million near-term investment. Turning to cash, we feel confident about our liquidity position for several reasons. First, we have a solid plan focused on driving top-line growth of 20% to 25% in 2025. Second, we successfully restructured the company, reduced spend, and achieved positive adjusted EBITDA ahead of schedule. Third, we have confirmation by our insurer that certain defense costs related to the securities litigation and other related matters will be reimbursed starting now. And finally, we remain on track to deliver positive free cash flow in Q4 as planned, subject to any future swings and tariffs. I also want to be clear that we have no current plans to raise capital through any type of dilutive forms of equity-based financing. And finally, I want to close with a few comments on our long-term operating model. That long-term operating model was last shared with investors in 2023. At that time, the target was achieving long-term adjusted EBITDA margins of 10 to 15%. And since then, a lot has changed in the business. We're currently taking a fresh look at the model and intend to update it. In short, we believe there's potential for greater long-term leverage in this business. While there's more work to do, we look forward to sharing detailed updates at our next Analyst Day. And with that, I'll turn the call back over to Brian.
Brian Norris: Thank you, Chris. At this time, we'd like to open the call up for Q&A.
Operator: [Operator Instructions] The first question will come from Jeremy Hamblin with Craig Hallum. Please unmute your line and ask your question.
Jeremy Hamblin: Thanks, and congratulations on all the hard work getting here and the great results. I wanted to start by just asking about the success you're having with expansions. I think you said 50% of the new subscriptions were expansions and get an understanding of whether or not more of that is coming from the education vertical or healthcare or enterprise or stadiums.
John Kedzierski: Thank you for the question. We're thrilled about the commitment our customers are showing to our technology and see that as a great sign to the value we provide that they chose to double down on the investment that they've made in Evolv. In terms of your question on where that's coming from, that is our Express installed base since eXpedite is new to the market. And in terms of specific verticals, that's something we could follow up on at a later time.
Jeremy Hamblin: Got it. And then I wanted to get an understanding. There's some new -- there’s a new law in California that's captured some attention here about hospital entrances being required by March of 27 to have weapons detection systems at all entrance ways, and wanted to get a sense for inbound interest related to that. And then any additional comments that you might have, I think there's several other states that are looking at similar types of legislation requirements.
John Kedzierski: We have a healthcare vertical team and they're aware of that legislation and actively engaging with customers in California. I believe that that legislation is a broader indicator of enhanced focus on safety and security in the healthcare setting. And we ware seeing positive signs in that vertical overall and see that as a significant opportunity for Evolv.
Jeremy Hamblin: Great. And then as you continue to roll out the Gen2 Express product, I wanted to get an understanding of how you expect the gross margin profile to play out. Is that rolls out here over the next year or two?
John Kedzierski: As Chris commented in his prepared remarks, overall, we see gross margins being consistent. Outside of the comment that Chris mentioned in terms of some headwinds based on [mix] (ph), as we do have a different gross margin profile across purchase versus full subscription, we're very encouraged about the signs of more customers preferring full subscription, as that maximizes our ARR and RPO.
Jeremy Hamblin: Got it, last one for me. Go ahead.
Brian Norris: Go ahead, Jeremy, last one.
Jeremy Hamblin: Yeah, I was just going to ask about your CapEx expectations for the year.
Brian Norris: Yeah. So, Jeremy, it's Brian. So, I think, if you look at maybe $20 million to $25 million for CapEx to support the full subscription business, that's probably a good way to think about it. Again, based on what John just described, we're seeing a little bit more rotation to full subscription. And in that case, it could be just a little bit higher but $20 million to $25 million is probably the right way to think about the business. Remember, we have a different [bomb] (ph) cost for Gen 2, right, so we can do that a little bit more.
Jeremy Hamblin: Thanks for taking the questions. Best wishes.
Operator: Our next question comes from Michael Latimore with Northland Capital Markets. Please unmute your line and ask your question.
Michael Latimore: All right, great. Yeah, and congrats on getting these reports done. Excellent to have a live call again here. I guess, John, maybe since this is your first call, maybe a little bit more on strategy here. Any refinements to strategy, whether it's through distribution versus direct OEM? Is there a view that you might want to make an acquisition? Just maybe a couple updates on any enhancements to strategy here.
John Kedzierski: We see the highest opportunity for shareholder value creation in continuing to drive the strong predictable subscription model that we have. As Chris mentioned, we had the privilege of walking into 2025 with 78% of our outlook already contracted, and we're focused on securing as many more entry lanes as we can to grow into that subscription base which will drive predictable long-term revenue growth.
Michael Latimore: Yeah. And then, does your guidance assume kind of consistent bookings every quarter or are you expecting second half to be greater than first half?
John Kedzierski: As we look into that guidance and [what informed it] (ph), beyond walking in with 78% already committed and the incremental coming from new bookings, we expect to deploy as many new, at least as many new subscriptions in 2025 as we did in 2024.
Michael Latimore: And then is there one vertical that you're particularly excited about that you're seeing a lot of momentum?
John Kedzierski: We're excited about the momentum that we see across our verticals, Q1s, sports and entertainment, where many of our shareholders can experience our product when they attend their favorite sporting event. Education, where we take our responsibility very seriously in helping schools secure their facilities and to the earlier comment about healthcare where there's an increasing focus in patient and healthcare worker safety.
Chris Kutsor: And, Michael, this is Chris. One point I'd add that I'm excited about and I mentioned briefly, about half of our bookings and units in Q1 came from existing customers. So that's across the verticals, but that's a pretty strong statement of repeat, not just repeat business, but continued investment, further investment by our install base.
Michael Latimore: Got it. I guess just last one on the tariff topic. Is that having an impact on pricing for the system or access to components?
John Kedzierski: First, I want to make sure that we have factored in our forecast for tariff exposure in our 2025 outlook that I just shared with you tonight. And I believe that we're well positioned to manage the potential trade-related headwinds. For some additional color on why we feel that way, first it's important to note that our products are assembled right here in the US, which significantly limits the direct impact of tariffs on our operations. For some additional detail, approximately 40% of our raw materials comes from North America, US, Mexico, and Canada, and the Mexico and Canada content is in compliance with the USMCA, thus tariff exempt. One other bit of detail that I'll provide as we look into tariff impacts into the future, our flagship product, Evolv Express, which is the disproportionate majority of the revenue in our outlook, represents less than 5%. China represents less than 5% of the bill of materials in that product. So we're obviously watching the changing tariff environment very closely, but it is in the outlook that you saw.
Michael Latimore: Perfect, perfect. Thanks very much. Best of luck. A - John Kedziersk Thank you.
Operator: [Operator Instructions] Our next question will come from Eric Martinuzzi with Lake Street Capital Markets. Please unmute your line and ask your question.
Eric Martinuzzi: I was curious about the expectation for the number of units. Historically, you guys have kind of given a range that you expect to support the revenue targets. So, this 20% to 25% revenue growth, you just finished a year where you shipped 1,748 Evolv Express units. What's the range that we're looking at for 2025?
John Kedzierski: As I stated earlier, we expect to deploy at least as many units in ‘25 as we do in 2024, which would put us in about 8,000 -- approximately 8,000 units deployed at the end of the year. Going forward, you're going to hear us de-emphasize the number of units shipped per quarter, and that's for a very intentional reason. As we're entering into the next phase of our evolution, upgrades from Gen 1 to Gen 2, which would not be a new unit shipped, but would be an extension of RPO, renewals of systems, including early renewals sometimes as people upgrade to Gen 2, short-term subscription opportunities that we're excited about are all becoming drivers of ARR revenue and RPO and not reflected in a new unit shipped. So you're not going to hear us talk about that as much, but we believe we'll be finishing 2025 with approximately 8,000 units deployed.
Eric Martinuzzi: Okay. And then the revenue progression for 2025. You guys have historically -- there's just been sequential growth quarter by quarter. Given the one-time benefits that you talked about in Q1, do we have a step down? Should we expect to step down in Q2? Or is there -- is sequential growth a plan?
Chris Kutsor: This is Chris. Thanks for the question, Eric. A couple things. We did say, hey, don't read too much into Q1 because of the soft compare. Hopefully that's clear. It did have some one-time impacts. We haven't guided specifically on Q2. So I'm not going to get overly specific there. But remember Q3, Q4, and now Q1 all had in general some benefits of this more one-time revenue where revenues is reflected more upfront because of the purchase subscription transactions the customers were opting for. You heard John say a few minutes ago, however, we're seeing increased adoption of pure subscription. And what that means is more revenue over the four-year lease versus more upfront. And that's a good thing for the business that we think is likely to continue as we get more ARR and it's very good in general. I will just give you a quick reminder, right? Full subscription defers revenue recognition compared to purchase subscription and that is informed in our 2025 outlook. Remember too, the comps through the rest of this year, through the rest of 2025, are impacted by the higher revenue recognition in the second half of last year, the second half of 2024, that also had some of that one-time higher revenue impact. So, when you keep that all together it nets out to exactly what you heard from us, 20% to 25% that we expect for this year. It's informed again by all the way back beginning, you heard John talk about a strong predictable subscription business that has a substantial amount of revenue booked on day one that gives us a little bit more visibility and less volatility in either direction.
Eric Martinuzzi: Got you. And then you talked about kind of a $2 million in near-term investments. How does that layer on? Is this sort of spread like peanut butter across the remaining three quarters or is there -- should we anticipate larger amounts in different quarters?
Chris Kutsor: For now, it is just beginning. Some of that spend has begun now, but yeah, it will be a bit more in the second half. But we'll update you again in Q2 with it -- with the state of that investment.
Eric Martinuzzi: Got it. Thanks for taking my questions.
Operator: Our next question will come from Brett Knoblauch with Cantor Fitzgerald. Please unmute your line and ask your question.
Brett Knoblauch: Hi guys, thanks for taking my question. Nice to hear your voice again. Just on the purchase versus description model, is there a mix that we can assume that you guys are going to target? Again, are we ever going to have another quarter where we're going to get a higher purchase order or is now the business direction and focus just on the different sides, we're never going to have that order where there's a big one-time cost or one-time benefit if you will?
John Kedzierski: We definitely like the shift that we see to more pure subscription because of all the reasons that we've already articulated and we also think it's the best ownership experience for our customers as well. The shift that we're observing here in the first half is coming from customer preference, which we see as an encouraging sign. We're going to continue both options in terms of customers being able to purchase the hardware and then subscribe to the software because all of our models have a subscription attached, a 48-month subscription, or enter into pure subscription. So we're communicating what we're seeing [in a trend that we see] (ph) for the rest of the year.
Brett Knoblauch: Got it, let me just follow up on eXpedite. The 12 new customers that you guys had added, were those like net new customers who weren't using Evolv at all before or were they kind of existing customers just adding eXpedite on top?
John Kedzierski: There was a mix of customers with quite a few that had Expresses already, which we think is great, to the comments we've made about existing customer expansion, growing their fleets or cross-selling new units. But we also saw brand new customers, with eXpedite that we're excited about. We're optimistic about how that product is launched into market, we’re seeing new customers early, so early into the launch process.
Brett Knoblauch: Got it. Appreciate it guys.
Operator: This concludes our question-and-answer session. I'd like to turn it back to the company.
John Kedzierski: Thank you for joining us today. We are very pleased to be back in compliance with the SEC and our SEC filing requirements and re-engaging with investors like we did just now. We have had a period of significant change. I am very proud of how our team has negotiated through those challenges. We greatly appreciate the support of our customers, our partners, our shareholders, and our employees. Thank you. I am pleased with the start we've seen to the year and the positive indicators that we see about the business. We believe that there may be more leverage in the model and in this model specifically on adjusted EBITDA and we really look forward to seeing our investors as we enter into our outreach period. Thank you.
Operator: Thank you for joining. This concludes today's call. You may now disconnect.